Operator: Welcome ladies and gentlemen to the Casual Male fourth quarter and fiscal 2008 earnings conference call. (Operator Instructions) I now would like to turn the conference over to your host, Jeff Unger. Please go ahead sir.
Jeffrey Unger: Good morning. Thanks [Pablo] and thanks everyone for joining us this morning. On our call today is David Levin, President and CEO and Dennis Hernreich, Executive Vice President and Chief Financial Officer and Chief Operating Officer. I’d like to read our forward-looking statements and then turn the call over to David this morning. Today’s discussion will contain certain forward-looking statements concerning the company’s operations, performance and financial conditions including sales; expenses; gross margins; capital expenditures; earnings per share; store openings and closings; and other matters. Such forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from those assumptions mentioned today due to the effect of a variety of factors that affect the company. Information regarding risks and uncertainties are detailed in the company’s filings with the Securities and Exchange Commission. You can find our complete Safe Harbor statement available at casualmalexl.com. David, I’d like to turn the call over to you.
David A. Levin: Thanks Jeff. Welcome everybody. As many of the specialty retailers have already reported their fourth quarter sales and earnings, there’s not a whole lot I could add to the voices of other CEOs. No doubt the current state of retail is in the worse shape that any of us have experienced in our lifetime. The precipitous drop in consumer spending has impacted everyone and we were no exception. Our comp sales were flat in the first half of 2008 and then things started to turn on us rather quickly in the back half of the year. In the third quarter sales were down 5% and accelerated to a negative 9.3% in the all important fourth quarter. While our financial results were disappointing, I am extremely proud of our management team as to how they responded to this unforeseen downturn in consumer spending. We actually missed our original 2008 sales plan by $40 million. However, we ended the year with $19 million less in inventory, substantially higher than our plan of a $10 million reduction. We started to make adjustments to our plan during the fall season and became more aggressive as we saw the economy go into a tailspin. The good news is that our inventories are in the best shape they have ever been, and with the adjustments we’ve made for 2009 we anticipate getting our margins back to where they were in 2007. With the forecasted plan of negative high single-digits for this year, we should not have gross margin concerns even if business remains challenging throughout the balance of this year. I also commend the management team with its focus on maintaining a strong balance sheet and working towards generating as much cash flow as we can, even with the down trend in sales. And Dennis will go into more detail about this subject matter. I believe CMRG is an excellent barometer as to what is happening to the consumer out there today. Our strategy to gain market share was to service all big and tall customers, regardless of their income or demographics. Today we run the gamut from the luxury class with Rochester Clothing to the moderate consumer with Casual Male XL, and finally the cost conscious customer with B&T Factory Direct and our Casual Male XL Outlet Stores. What we are now experiencing is consistent with what other retailers have been reporting. There is a trade down effect going on with the luxury sector taking the brunt of the negative comp performance. In the fourth quarter, Rochester Clothing comp sales were down 19.5% while Casual Male XL comps were down 7.2%. Sales in our outlet stores were considerably better, while our direct B&T business was actually up over last year. During the fourth quarter as we were experiencing a dramatic deterioration of sales at our Rochester division, we made the decision to take significant markdowns to insure that we wouldn’t carry aged inventory into 2009. The path we took was similar to what was happening at high end department stores. In other words, a lot of apparel went out the door at up to 70% off. While it was painful, we did end the year with 21% less inventory on a store-for-store basis and it enabled us to keep intact a flow of fresh product throughout 2009. As I spoke to the trading down of our customers, we have reacted and rebalanced our on order to increase the penetration of our entry level price points and at the same time grow the percent of private label goods to improve upon our margin performance and offer our customer a better value. As Rochester has been struggling, we have reassessed the business model as it exists today. We’ve determined that a full-fledged Rochester Clothing Store has limited marketability. New York, London, Beverly Hills, Chicago and several other major markets can support a store of this stature. But since the 2004 acquisition we’ve opened eight new stores where we expended $7 million alone in CapEx. Last year these stores all generated negative EBITDA. The big and tall high end customer can’t support and justify this model in secondary or suburban markets. Therefore, we’ve developed a concept that can more efficiently target the Rochester customer and continue to satisfy their apparel needs. By the end of this second quarter, five of our underperforming Rochester locations will become what we refer to as “hybrid” stores. All five of these Rochester stores have a Casual Male XL store within one mile of the Rochester location; three of the stores are actually within 100 yards of each other. The EBITDA of the relocating Casual Male stores approached $1 million last year. These stores will be co-branded Casual Male XL-Rochester Clothing stores and the Casual Male stores will be closed and relocated to the bigger box Rochester location. Almost all of the Casual Male assortment will be in the hybrid, and the Rochester’s’ assortments will be based on history of its brands performances. These Rochester stores were generating about 71% of its sales on 40% of its inventory, so we believe we’ll be able to increase the productivity of these boxes significantly with the rebalanced mix of products. In these five location Rochester stores, sales per square foot were 59% less than the balance of the stores. And this should be a big win for our Casual Male customers as they will be offered a broader assortment of product along with a better looking store and a higher level of service. As far as the future development of this concept, we concede that most metro markets will warrant one hybrid store which would be about 6,000 square feet. However, in the current environment we have no plans at opening any new stores. We will, however, continue to relocate stores on an ongoing basis. In terms of marketing, we’ve made significant reductions in our spend for this year. We’ve eliminated the TV campaign for CM XL for the year. We’ve also made major reductions in our planned catalog circulation. Most of these cuts come from the prospecting side of our mailings. While prospecting does bring new customers to our business, we do lose money when we prospect. We have additional savings in our catalog costs this year through a combination of reduced page counts, resizing of existing catalogs to save on postage, and reformatting a direct mail piece to our Internet shoppers in lieu of a full-fledged catalog. Even with the anticipated cost reductions in marketing, we believe our market share will not deteriorate. Another major initiative for us this year has been negotiating rent reductions from all our landlords. We’ve been active in this project for several months, and overall we’re pleased with the progress we have made at this point, and a number of leases remain to be negotiated. We’ll continue to work with our landlords for any type of relief we can get for our leases. One final point I would like to note is that as we have witnessed the retail landscape contracting, most of that has been a result of an over saturation of stores and competitors fighting for the same dollar. CMRG with 497 stores continues to be the dominant specialty retailer in big and tall. With the acquisition of Rochester and Dahle’s which took place last year, the next largest remaining specialty retailer in this section has five stores. And there aren’t many specialty retailers that have a market position like we do today. Dennis will now review our financials for Q4 and the year. Thank you.
Dennis R. Hernreich: Thank you David. The current economic slump began to impact our business as early as the second half of 2007 when our sales slowed from a 5% comparative sales growth in the spring of that year to a decline of 0.6% in the second half. During the first half of 2008, sales trends continued as they were during the second half of 2007 with a further decline of 0.8%, but then accelerated in the second half of 2008 to a negative 7.8%, particularly in the fourth quarter which had a decline of 9.3 resulting in an overall sales drop for the year of 4.3%. In spite of this drop in sales, which represented $20 million from 2000 levels, we did not allow our financial position to erode. We decreased our inventory position at the end of the year by $19 million or 16% as compared to the prior year. We reduced our capital expenditures by almost $9 million or 41% from prior year levels. At the end of the year, our total outstanding debt decreased by $7 million or 12% and our availability under our credit facility stood at just over $30 million. Our free cash flow for 2008 improved by over $20 million from the prior year and was approximately $10.6 million compared to negative free cash flow of $9.7 million in 2007. Our primary focus has shifted to optimizing our free cash flow; maximizing our liquidity available under our revolving line of credit; efficiently managing inventory levels and monthly receipts to optimize gross margins; tirelessly evaluate our approach to our businesses; seek further efficiencies; and lower SG&A levels; and continuing to develop and implement innovative practices and technology to improve customer service. With this in mind, we have taken further measures to maintain a positive free cash flow posture. In planning for another difficult year in 2009 with sales expected to drop by as much as high single digits to low double digits, we are prepared for generating positive cash flow by reducing our capital expenditures by another $7 million to less than $5 million while still maintaining an innovative posture towards customer service; reducing our SG&A levels for 2009 by almost 9% or over $15 million to an expected level of just over $162 million; appropriately maintaining fashion inventory levels such that our overall merchandise margins in this current year are expected to improve by between 225 and 275 basis points; managing physical 2009 inventory levels for further reductions of approximately 10% or $10 million; and expect to further reduce bank debt by over $10 million during 2009. Based on these changes in our business and in spite of the expectations that sales will drop, the company is planning to generate free cash flow in 2009 of approximately $15 million to be used to reduce debt. The company started the year with liquidity under its revolving line of over $30 million, which is expected to improve during the year from free cash flow generation. The company’s line of credit term does not expire until October, 2011 and there are no financial covenants to comply with during the term of this facility. In addition, our objectives to further enhance our customer service and improve sales productivity will continue into 2009, unaffected by the poor economic conditions and the impact on our overall sales by continuing to transform our cultural focus towards creating an enhanced customer experience by providing our stores sales associates and management with better sales training, development tools and monitoring capabilities; improving our methodology of planning and allocating appropriate assortments to each store; considering the demographics and lifestyle tendencies of each store location; continuing to grow, albeit more deliberately going forward, our direct businesses including Living XL, Shoes XL and B&T Factory Direct; testing a hybrid format as David spoke about to better capitalize upon the higher end customer; improve store productivity and overall profitability for the long term; building our primary brands, Casual Male and Rochester in websites in the European Union, which were launched in the third quarter of 2008; and focusing on growing our market share within the smaller size component of the big and tall target market. As a result of the overall impact upon our shorter term profitability and decrease in our market value, we recorded substantial non-cash charges totaling over $100 million or $2.41 per diluted share. Included in the $100 million of charges is over $71 million related to the impairment of goodwill; trademarks and long-lived assets; and almost $29 million for evaluation allowance against our deferred tax assets. In total, the company’s net loss for the year was $2.64 including these charges compared to net income of $0.01 per share a year ago. However, these non-cash charges mask our operating results for the year. Excluding these non-cash charges and an additional $2 million associated with certain one time charges, our operating loss for 2008 was $3.6 million compared to operating income for 2007 of $10.5 million. This approximates an almost $15 million drop in profitability on a sales decrease of approximately $20 million, which I will now more fully describe. Comparable sales during the fourth quarter dropped by 9.3%, down almost 12% in the retail channel, but up 1.5 points in the direct channel. The Casual Male business was down 7.2% in the fourth quarter while Rochester business declined 19.5%. Over half a dollar decrease in the company’s sales for the year occurred in this fourth quarter. Total sales for 2008 decreased by almost $20 million or $4.3 million to $444.2 million as compared to $464.1 million for 2007. The sales shortfall of $20 million was primarily attributable to a decrease in our comparable sales of 4.3% which includes a 5.8% decrease from our core Casual Male and Rochester businesses. Our higher end Rochester business with a total decrease of 12.5% has been affected the most by the downturn in the economy. Likewise, our value oriented Casual Male Outlet Stores performed significantly better with a comparable sales decrease of only 1%. Our non-core businesses which include Living, Shoes and B&T Factory Direct and our international web stores generated sales of almost $16 million for the 2008 year as compared to almost $9 million a year ago. Sales from the company’s retail channel declined by 6% while sales increased 4.4% in its direct channel during the year. Lack of traffic continues to be a substantial contributor to our sales shortfall. For 2008 our traffic was down almost over 9% over last year. However, our conversion metric which measures percentage of people who come into the store and make a purchase increased 6% over last year, helping to mitigate the lack of traffic. Gross margin for the fourth quarter of 2008 dropped by 300 basis points to 38.8% compared to 41.8% a year ago. Company’s merchandise margin dropped by 150 basis points from last year and by 640 basis points from its peak earnings fourth quarter of two years ago. The company employed a promotional discount strategy in the quarter to reduce inventory levels to more appropriate levels entering into 2008 – or 2009, excuse me. Much of the drop in merchandise margins was incurred in our Rochester business and was much more moderate in the Casual Male business. The balance of the drop in gross margin was occupancy related. With over 9% drop in its sales base, our occupancy costs de-leveraged by 150 basis points. Gross margin rate, therefore, for 2008 was 42.7 as compared to 44.4 and 45.5 in 2006. The decrease of 170 basis points in the gross margin rate was comprised of a 60 basis point decrease in merchandise margin and 110 basis point increase in occupancy costs, again related to a lower sales base. Throughout 2008 we took additional markdowns in our seasonal merchandise to insure that our inventory levels remain appropriate, and in some cases accelerated our fourth quarter markdowns as a result of our fourth quarter sales shortfall. Although this impacted our merchandise margin for 2008 as I described, we believe now that our inventory levels at the end of the year are current and appropriate considering the continued uncertainty regarding the economy and its impact on our revenues for the [inaudible] part of 2009. With inventory levels down by 17% from a year ago, average store inventories declined by approximately 20% in Casual Male and 18% in Rochester stores. Together with adjusting for 2009 inventory receipt levels consistent with the company’s sales expectations, we are expecting a 225 to 275 basis point improvement in merchandise gross margin that can be achieved in 2009. Much of this improvement is expected to occur in the second half of the year and primarily in the fourth quarter. Selling, general and administrative expenses as a percentage of sales for the last three years was 41.1, 38.4, 36.3% respectively. On a dollar basis our SG&A expenses of $178.1 million for 2008 were flat to fiscal 2007. For our core businesses SG&A expenses actually dropped by $5 million or 2.9% as compared to 2007. The majority of the expenses was from decreases in marketing, primarily as a result of decrease in circulation of catalogs, productivity of savings in our distribution center as a result of an improved infrastructure and overall cost savings throughout the organization. These cost savings were offset by an increase of approximately $3.5 million related to expenses from our growing non-core direct businesses which include Shoes, Living, B&T Factory Direct and international web stores. Fiscal 2008 also includes a non-recurring charge of $2 million primarily related to non-cash charges for acceleration of stock compensation expense associated with the repurchase of certain stock options. For 2009 we have planned to reduce our SG&A costs by over $15 million. The majority of this reduction related to decreasing marketing costs for 2009 due to the reduction of mass media advertising and a more concentrated direct mail program; reduced corporate payroll costs as a result of headcount reductions and pay freezes; cost savings in our distribution center as a result of system enhancements and process improvements; and overall cost savings in store payroll as a result of changing our store operating hours to maximize selling productivity. Also during 2009 we are expecting our deprecation and amortization charges to drop by $1.5 million and our interest costs to decline by almost 50% to the $1.5 million level. In that the company’s profitability is expected to be minimal in 2009 with prospects for recovery uncertain, related to the overall economy, the company recorded a charge of approximately $29 million to establish a full valuational allowance against its net tax deferred assets and will be recording taxes on basically a cash basis going forward. However, this does not affect the availability of its net operating loss carry forwards of almost $80 million for federal income tax purposes and $54 million for state income tax purposes to offset future taxable income. The company’s financial position has improved from year ago levels, with free cash flow of just over $10 million in 2008. Even with an approximate 10% drop in sales in 2009, the company is anticipated to further improve its financial position by generating another approximate $15 million in free cash flow. And a sales decline of mid to high double digits would generate neutral free cash flow for 2009. Inventory levels are planned to drop another 10% during 2009, after being reduced by 17% in 2008. The drop in inventory levels is made possible by systemic improvements we have made to our planning systems, as well as methodology enhancements in sort and planning and pre-season planning. The company is reducing its capital expenditure levels as I said to approximately $5 million in 2009 and can maintain these levels going forward with minimal store expansion plans, but adequate expenditures to fund infrastructure improvements and maintenance. During 2008 the company incurred $12.7 million of which $6.4 million was related primarily to fund the opening of 16 stores and relocation of two stores, whereas the company is only planning to relocate up to five stores in 2009 and open no new stores. Overall store count should drop by up to 12 stores by the end of the year which includes the effect of the five hybrid stores. The company’s credit facility which matures in October, 2011 provides for a total commitment of up to $110 million depending upon underlying collateral values with interest rates currently averaging LIBOR plus 1.66 basis points. The facility has no financial covenants to comply with and together with its free cash flow is expected to provide the company adequate liquidity. At the end of the year we had borrowings outstanding under the facility of $38.7 million and outstanding standby letters of credit of almost $6 million, and [documendary] letters of credit of $2.2 million. Average borrowings outstanding under this facility during 2008 were approximately $50 million, resulting in an average unused excess availability of approximately $43.7 million. Updated inventory appraisals which determine levels of asset collateral values have been completed and the company is expected to maintain average liquidity levels of between $25 and $35 million during the year, with average revolver balances of approximately $40 million but ending the year at between $25 and $30 million. Needless to say, until there is more clarity on the direction of the U.S. employment and household income picture and overall the economy condition, the company will not be giving any earnings guidance other than expectations as to the components of our business such as gross margin and SG&A levels. We can open up, Pablo, and take any questions our participants may have.
Operator: Thank you. (Operator Instructions) Your first question comes from [Evelyn Greenwald].
Thomas Filandro: It’s actually Tom Filandro. The question here is a broad question. First is what percentage of your customers shop both brands? Do you know the answer to that?
David A. Levin : Yes, we’ve been looking at that because of the hybrid situation. Approximately 25% of our Rochester customers shop Casual Male.
Thomas Filandro: Okay David, so here’s my question, was the convergence of the luxury spender clearly trading down, which we know that may represent a secular trend, why not simply converge both of your brands into one, seeing as the customer base is similar although the percentages aren’t that great? But they are clearly a similar customer base. I would expect that the savings would be significant if you were to do that and that would also provide maybe a more potent marketing message or marketing point of view. And just my simple view is here is that Rochester brand has greater brand equity, so you could just simply offer value priced Casual Male product in those stores where Rochester customer or that luxury customer still exists to some degree, as opposed to just this sort of testing of the hybrid strategy which seems like a baby step, where I think more drastic measures need to be taken in this environment.
David A. Levin: I think it’s a good point but that’s, again, you know, baby steps in this environment, we don’t want to do something that could seriously fail on us. So I think we’re going to get a good read off these five stores to see exactly what happens and transfers and we’re going to be monitoring it, and then making the next move from there. I’m not saying that what you’re saying may not end up to be the end game, but there’s a lot involved in this and we want to do things prudently and make sure we’re – that this is going to work for us. We have a high degree of confidence on this conversion on these hybrids, and we’ll see where we go from there, but your point’s well taken. It’s something that we will – we may be looking to down the road.
Dennis R. Hernreich: Another point to add to that, Tom, is our highest volume and most profitable stores are Rochester stores. So we do have a fair amount of assets to protect as we make these steps.
Thomas Filandro: Right, but Dennis I think David’s opening comment – and this is what made me think about this is the opening comments where you highlighted New York and London and Beverly Hills and Chicago, which are clearly markets which should be supporting Rochester-type, you have the appropriate support for a Rochester brand, but those stores all lost money last year. So if it is a secular trend, the asset value in that current position may be very different than it was in the past.
Dennis R. Hernreich: Those stores – no, those stores did not lose money last year.
David A. Levin: Tom, the stores that I referred to that lost money are the new stores that we opened, not – you know we have 12 stores in those major markets that are our most profitable stores in the company. So I mean at this time we couldn’t see touching New York and Beverly Hills and Chicago by downgrading those into a hybrid at this time.
Thomas Filandro: Okay. Okay. I understand now. All right. So I misinterpreted that.
David A. Levin: It’s the new stores that we opened, for example, in suburban – outside of Chicago where we opened a store in Oakbrook, or outside of Boston where we opened a store in Natick. These are the ones that have really struggled for us.
Thomas Filandro: And just a separate question directed at Dennis, have you guys run a – you highlighted that you are expecting to generate free cash flow. Have you run a sensitivity analysis at what level of comp – I mean, how bad can comps get?
Dennis R. Hernreich: Yes. Maybe I mumbled it, but I said Tom mid-double to high double digit of comps would render us cash flow neutral.
Operator: Your next question comes from Betty Chen.
Betty Chen: I was wondering if you can speak to a little bit more, David, on the again on the hybrid strategy. Have you been able to do some tests, whether it’s placing some merchandise in the XL stores or in the Rochester’s vice versa to kind of get a sense of the acceptance? I think, just following up on what Tom said earlier, it certainly seems like Rochester has the stronger brand equity. Are you concerned at all that how you handle this test could in some way tarnish the branding at all? Kind of your thoughts there.
David A. Levin: Yes. Well, again, there’s about 30 stores in the Casual Male chain that are somewhat hybrids where we carry collections like Calvin Klein and Polo. That’s about all they can handle. Again, what we’re seeing in these stores that we’re turning into the hybrid, they cannot support the high end product that we’ve put in there that we’ve put in other cities. They tend to do most of their business in those opening price point brands like Polo and Cutter and Buck and some of those other brands. So again we’re planning those markets to have a significant drop in the total Rochester sales, but we also plan on moving 100% of the sales over from the Casual Male customer. So again we’re turning these stores that really have no chance of really becoming profitable as Rochester stores and by putting the two together, with a reduction in the Rochester sales and the moving of the Casual Male sales, they net out much stronger, and they all end up in positive EBITDA. But we’re going to watch it closely. We are going to monitor very quickly what’s happening to the Rochester customer in these markets. But we also have the catalog to support the Rochester stores. And as you saw that our average store inventory is down 20% in Rochester, our catalog sales from the store levels are growing significantly because the stores are being trained to sell product that they can’t support on the floor on a regular basis.
Betty Chen: And I was wondering, certainly it seems prudent to be looking at all cost measures including marketing, but it does appear that so far, you know, 2009 has started off to be another highly promotional environment. How should we think about not losing market share like you mentioned, but also staying top of mind for your shoppers? And especially in the case of the hybrid, I understand it’s only for five locations, but how will we also try to market to those customers as the change is happening? Thank you.
Dennis R. Hernreich: Well, we still have a very robust marketing plan for 2009 which includes over 200 million emails going out to our database, as well as a fairly regular direct mail campaign to not only our catalog web shoppers but also to our retail shoppers. So I don’t – that’s what we have most in mind is to keep us top of mind as guys remind themselves that they need a pair of shorts or what have you. So I don’t think what we have done so far will take away at all from staying top of mind in our customers. And there is a special campaign, specifically to help introduce the hybrids into those markets.
Betty Chen: Just lastly, could you comment a little bit on the progress going on in Europe in terms of the e-commerce website launch?
Dennis R. Hernreich: Europe has launched. We are seeing good traffic but low conversion. I think there’s a number of website branding items that need to improve which are in progress. There’s some infrastructure improvements happening, all of which we think will have a positive impact on conversion. But it started slow, Betty, and our expectations are fairly moderate for 2009. However, it’s also fairly benign to our overall P&L and so we’re taking a sort of a slow go towards growing this business.
Operator: Your next question comes from Tom Filandro.
Thomas Filandro: My question’s on Living XL. Are you guys seeing anything in particular there, as that business has evolved, in terms of shift in product mix or pricing? And what if anything are you thinking about? I know you’ve kind of tested putting chairs in some stores, in terms of maybe putting Living XL products in these hybrids.
David A. Levin: We tested some product in the stores. It doesn’t seem to do much other than, you know, all the stores sell the chairs. In terms of growth, again because of the conditions we’re in right now we’re not going to do a lot of prospecting this year. So we have a fairly conservative plan for Living XL. Our price points have come down somewhat as we’ve been able to get some quantity buys out there and our goal is still to try and penetrate more into the women’s side of the consumer market, because about 50% of our sales on the Internet are to women. And so we’re continuing to probe that to try and figure out ways to increase our sales to the female side of the customer. But again we have a pretty conservative plan this year. We’re not going to do anything crazy in any of our new businesses to try and grow it dramatically at the expense of profitability. So as we’ve said in the past, the new businesses should not have any negative impact on our earnings this year.
Thomas Filandro: Thanks David.
Dennis R. Hernreich: Tom, Living’s making money this year.
Thomas Filandro: It is making money you said? Living XL is making money?
Dennis R. Hernreich: In 2009.
Thomas Filandro: Okay. Terrific. Thank you.
Dennis R. Hernreich: Okay. I guess there’s no further questions so thank you for joining us on this call. We’ll talk to you in a few months about our results for Q1. Thank you very much.
Operator: Thank you ladies and gentlemen for attending this conference. You may not disconnect and have a great day.